Operator: Dear ladies and gentlemen, welcome to the Uniper Analyst and Investor Conference Call Full Year Results 2024. At our customers' request, this conference will be recorded. [Operator Instructions] I may now hand you over to the Executive Vice President Investor Relations Sebastian Veit, who will start the meeting today.
Sebastian Veit: Thank you, operator. Dear investors and analysts, good morning. I'm pleased to welcome you to our conference call on the 2024 financial year. Next to me on today's call are Michael Lewis, our Chief Executive Officer; and Jutta Donges, our Chief Financial Officer. Michael will guide you through our key developments in the past financial year 2024 and our plans for the current financial year. Then Jutta will present the details of the key financial data for 2024 and provide some further details on the outlook for 2025. As usual, there will be a Q&A session after the presentation. And now let me hand over to Michael Lewis, please.
Michael Lewis: Thank you, Sebastian, and good morning, everyone, and welcome from my side, and thanks for dialing in today, and I'm very pleased to share with you our full year 2024 results and how well positioned we are for the year ahead. So let's kick off by summarizing the main strategic achievements and financial highlights for 2024. First thing to say is that 2024 was the first full year of the new Uniper, following the strategic review we unveiled in August 2023. And let me take this opportunity just to thank all of my Uniper colleagues for that tremendous work in 2024 and their contributions to a very successful year. We've made many strides in the execution of our strategy, despite multiple challenges for the energy transition, such as pressure on European competitiveness and political uncertainty in our home market of Germany after the collapse of the coalition and government late last year. However, I will just say a couple of things about the German election, which happened on Sunday, 2 days ago. I was very pleased with the high voter turnout of 82.5% and this is something which a number of us campaign for in the run-up to the election to ensure that people voted. And it's a sign of the importance of the Federal Election and of the value of free democratic elections. And that voter turnout should encourage all of us. We now need a new government to form quickly in Germany that can have a positive effect on the mood and the investment climate in Germany. It's what the country needs and it's what companies like Uniper also need. So what did we deliver in 2024? Well, first, we continue to focus our capital allocation to our growth areas. In 2024, we increased our total investment spending by 21% compared to the previous year. And one of the largest single investment projects is the revitalization of the Happurg pump storage plant in Germany. And here, we're planning to invest around EUR 250 million, and that's the biggest single investment volume in Uniper's history. Furthermore, we're striving to further expand our renewable projects in core markets. And recently, we took financial decisions for solar PV projects with a combined investment volume of around EUR 140 million with a capacity of more than 200 megawatts. In addition to our targeted investment projects in our core business areas, we are completing the necessary divestments and to fulfill the obligations agreed between the German government and the EU Commission and the vast majority of our required divestments have been achieved or are being progressed. And at the beginning of this year, we announced the closure of the sale of the gas-fired power plant Gonyu in Hungary and on North American power portfolio. and we are confident that we will accomplish all divestments by the end of 2026. Furthermore, we harmonized our group-wide climate targets towards 2040 to reflect the changed market conditions, such as the slowdown in the development of the hydrogen market or the delay in the investment framework, the new dispatchable power plants in Germany, the so-called [indiscernible]. And our interim target to achieve carbon reduction of 55% for our Scope 1 and 2 emissions by 2030 remains unchanged. Second, we're on track to achieve the commercial coal phase out by 2029. In 2024, we reached a significant milestone in our decarbonization pathway with the decommissioning of around 3 gigawatts of large coal-fired power plants, Ratcliffe in the U.K. and Heyden in Germany, and sale process for the German coal-fired plant Datteln 4 has been initiated. And starting from 19 million tonnes of Scope 1 and 2 emissions in our base year of 2019, the planned coal phaseout until 2029 is expected to save over 9 million tonnes of CO2. And this is a very important element to achieve our interim target to reduce carbon emissions by 55% by 2030. And third, we successfully derisked our business activities. Notably, after Uniper was awarded more than EUR 13 billion in damages for the gas volumes not supplied by gas prone exports since mid-2022 and the right to terminate the contracts, Uniper formally ended the gas supply contracts in the first half of 2024. And with the 2024 annual financial statements, we have clarity over the exact amount of the contractual replayment claims of the Federal Republic of Germany, which amounts to approximately EUR 2.6 billion and is planned to be paid in the first quarter of this financial year. And our financial and strategic process has resulted in improvement in our stand-alone credit profile recognized by the rating agencies last year. And also S&P Global and Scope have confirmed our BBB- rating with stable outlook, and we remain committed to regaining a stand-alone investment-grade rating. So in summary, we delivered in 2024 what we promised. And let's now turn to our financial highlights for the last year. So our Group 2024 earnings were very strong, and our financial position in 2024 is rock solid. 2024 is the second year in a row in which we achieved extraordinary results. Group financial earnings in 2024 turned out better than expected. We raised our outlook twice during the past financial year, and we achieved what we aimed for. As already announced in our ad-hoc release in mid-February, group adjusted EBITDA amounted to EUR 2.6 billion and group adjusted net income stood at EUR 1.6 billion for the 12 months of 2024, and both KPIs are in the range of our outlook for 2024. In all 3 of our segments, Green Generation, Flexible Generation and Greener Commodities contributed to this exceptional result. Yet will elaborate on that in more detail in a few minutes. And at the end, of the financial year 2024, we have a comfortable economic net cash position of EUR 3.4 billion, up 11% year-on-year, thanks to our strong operating cash flow. However, let me briefly remind you that this cash position will be affected by the contractual recovery claims of the Federal Republic of Germany of around EUR 2.6 billion. The last year was an outstanding year, which was remarkable for Uniper. However, the market environment remains very dynamic, and our 2024 results are not expected to be repeated. This becomes evident when we look at the markets in which we operate. So let's look ahead to the financial year of 2025. The commodity market environment is extremely challenging, particularly due to conflicting political and economic signals. Economic development in Europe is weak and international pressure on the European economy is growing. This is also reflected in intense competition in commodity markets. In the electricity market, we've seen weak clean spark spreads on the forward markets as can be seen here on the slide for Germany and the U.K. At the same time, we see very high and increasing price swings on the spot markets. In particular, European gas markets are highly nervous. And after the closure of the gas transit through the Ukraine at the end of last year and the rapid depletion of European storage facilities, prices at the short end have continued to rise before falling again in the hope of an end of the Russian war on Ukraine. And the negative summer/winter spread for the coming winter season, 2025, '26, currently makes refilling gas storage commercially unattractive. But with the EU emergency regulations that are still in force, regulators have the tools to send signals or take measures to achieve the filling level targets set for the EU for the coming winter season. If we look more towards the medium-term outlook, we saw -- we see more bright spots. Demand for electricity and gas has bottomed out. And in 2024, Europe recorded slight increases in demand. And the electrification of energy consumption, in thinking of battery electric vehicles, heat pumps and the expected rapid growth in data centers is a driver for accelerating growth rates towards 2030. At the same time, dispatchable power capacities in Central Europe are declining. More flexible generation capacities are therefore needed, and this is Uniper's home turf. We can provide solutions, and we want to play a very significant role here. And we expect positive developments for Germany and the U.K. during the year that could trigger investment in new gas-fired power plants that can later be decarbonized either with CCS or hydrogen. The situation on the European gas markets is more diffuse. Uniper is one of the players that makes a strong contribution to security of supply for Germany and Europe and in the transition to green gases. And on the demand side, we expect a recovery, particularly for gas use in power plants. For Europe, a broad-based sourcing strategy with LNG is important for security of supply, and it's also part of Uniper's strategic focus to better synchronize our sourcing volume more closely with sales volume again. So overall, the current market environment is a mixed bag for Uniper. In the spot markets, we harvest good returns offered by increased price volatility on the electricity exchanges. However, we no longer benefit from a strong tailwind from favorable hedging for our flex power and gas portfolio in the forward markets. So what does this mean for our earnings outlook and for our planning for 2025? On this next slide, you can see the outlook for 2025 for the 2 KPIs, adjusted EBITDA and adjusted net income. We already preannounced these headline figures in an ad hoc news release on February 13. And at this point in the financial year, the delta between the upper and lower end of the range is comparatively high. It reflects the uncertainties due to the high volatility in the commodity markets. And since the presentation of the new Uniper strategy in mid-2023, we've been working on significantly reducing the dependency on commodity markets in the future. All growth investments will preferably be made in assets with a high non-merchant contribution, and we'll also improve the earnings quality of existing activities, for example, by hedging prices in the outright power generation business for longer periods with PPAs. And overall, this policy is expected to reduce the merchant share of total group earnings from 70% to 80% in the past to below 50% by 2030. And at the top of our agenda for 2025 is the further rollout of our transition strategy. And for 2025, we've approved a total investment budget of around EUR 1 billion after EUR 0.7 billion in 2024, around half of which is earmarked for growth. However, let me once again remind you that we will only invest where we can achieve adequate returns with a balanced risk profile. And also, it's important to continue filling the project pipeline. We're experiencing a significant upswing when it comes to renewable energy and a strong focus is also on developing new gas-fired power plants in Germany and the U.K. to auction maturity. At the same time, projects like these will take us an important step towards generating a predictable and sustainable stream of future earnings. And in view of the increasing risk to security of supply and high European energy costs, we count on seeing clear political signals in the second half 2025, particularly in Germany and the U.K. that will mark the starting point for new power plant investments. And another job on our to-do list is to work through the EU remedy measures. We're already well advanced in this regard, as I said earlier. But the main item on the agenda here is to successfully complete the initiated sales process for the German coal-fired power plant Datteln 4 and Uniper Wärme, which is one of the market-leading district heating providers in Germany. So where do we plan to invest in 2025? The planned growth and maintenance CapEx for 2025 is roughly distributed as follows: 50% in Green Generation, 30% in Flexible Generation and 20% in Greener Commodities. In the Green Generation segment, the largest single project is the revitalization of the German hydro pump storage power plant, Happurg. And in the Renewable Energy segment, we are constructing over 200 megawatts in of new photovoltaic capacity. And in 2025, we target additional financial investment decisions for around 400 megawatts. In the Flexible Generation segment, we're still in the middle of developing large power plant projects, growth investments will probably not take off here before 2026. And to benefit from the volatility of the electricity markets and the required ancillary services in future, we're also in the process of building up battery capacities. However, the time line here is currently heavily influenced by the process of obtaining approvals for the connection to the electricity grid. Another focus is on developing joint concepts with data center operators on our brownfield sites. Meanwhile, on Greener Commodities, the focus is less on investments and more on rebuilding our trading platform with new gas supply sources and our established customer base. This should enable us to better exploit the potential for optimizing sourcing and supply by using our LNG terminal bookings, our large gas storage capacities and our outstanding trading platform. And the Green Gas business also requires little funding. Here, we have significantly scaled back our ambitions. The largest single project is participation in the integrated 30-megawatt hydrogen production plant in Bad Lauchstädt in East Germany, which is currently under construction and is scheduled for completion by the end of 2025. However, we also remain flexible. Our strong balance sheet in a changing market environment helps us to allocate our funds efficiently and adapt our course if necessary. And this is precisely how we plan to face into the politically and commercially volatile energy environment. And now over to Jutta, who will share with you the highlights of the operating business performance for 2024 and will comment on the outlook for 2025. Jutta?
Jutta Donges: Thank you, Mike. Also on my behalf, a warm welcome to all of you listening in this morning. It is a delight to present such outstanding results that are clearly above our expectations at the beginning of 2024 and certainly above pre-crisis levels. We have achieved this exceptional financial performance supported by numerous excellent operational decisions and strict risk management in a changing market environment. The market outlook remains difficult, as Mike just presented. 2024 marks the year in which we did our homework and could again refocus on the future of Uniper. We have successfully reached all important milestones on the path to Uniper's reprioritization that were within our sphere, a restructured and strengthened balance sheet, securing of independent external financing and updated financial steering, derisking of the gas supply portfolio and a significant improvement of Uniper's stand-alone credit rating. We will continue to support the Federal Republic of Germany in fulfilling its obligation to reduce its stake in Uniper to 25% plus 1 share until end of 2028. Uniper is prepared should the federal government opt for an exit via the capital market. Furthermore, I remain committed to achieving an independent investment rating for Uniper. This requires that we continue to improve our risk profile and deliver on transformation -- on our transformation strategy. In January this year, we took a step in the right direction when S&P acknowledged our plan to reduce our merchant exposure in a published tearsheet. In particular, the 6-terawatt power purchase agreement between Uniper and the green iron and green steel start-up Stegra was a clear signal that we are committed to reducing our overall exposure to commodity prices, and we will strive for more similar deals like this one. Let me now turn to the last fiscal year 2024 and our excellent financial performance on the next slide. While our operating performance is below the record level 2023, it is still well above what we would consider as a typical financial year. With an adjusted EBITDA of EUR 2.6 billion and an adjusted net income of EUR 1.6 billion, we are fully in line with our outlook, which we had raised twice during the last year. The first half of the year, in particular, was positive in operational terms. So that after 6 months, we were able to expect higher than initially anticipated earnings for the full year. With the settlement of long-running legal disputes resulting in a significant release of provisions recognized in the fourth quarter of 2024, we raised our earnings outlook for the second time. If we exclude this one-off effect in the last quarter, Uniper's earnings were heavily front-loaded -- front-end loaded. As we benefited from strong hedging transactions done in prior years. However, we have already recognized the impact from the less favorable development of Commodity prices and our figures throughout 2024. And as Mike explained in detail, on Slide #5, we have seen summer/ winter spreads for gas impacting our gas midstream business. also declining clean spark for Germany and U.K. on the forward markets in 2024 impacted our Flexible Generation business. With the last record high hedging transactions to materialize, this means that we were affected by declining tailwinds and lower commodity prices translating in lower earnings in the course of 2024. I will now go into more detail on our financial figures and the respective drivers during this presentation. Let's start with the adjusted EBITDA on the next Slide #10. This slide shows the reconciliation of adjusted EBITDA for the financial year '23 to the financial year 2024. As highlighted in all previous calls, especially the earnings from the gas midstream and flexible generation businesses are returning to more normalized levels after a record fiscal year 2023. Nevertheless, the operating and financial performance 2024 remains at a very good level. We expect that the normalization of our earnings will continue. This is reflected in our outlook for the financial year 2025 that I will come back to at the end of this presentation. Now let's go through the individual effects from top to bottom that should be well known from previous calls. As expected, the largest negative year-on-year change comes from the gas midstream business. This is mainly driven by the lower earnings contribution for the procurement of Russian replacement gas volumes in the amount of almost EUR 400 million in 2024 versus more than EUR 2.3 billion for 2023. Excluding this so-called gas curtailment effect, the gas midstream business has earned almost EUR 1 billion in 2024. Besides a solid operating result, the release of the provision in Q4 2024, which I already mentioned, made a significant contribution. Nevertheless, the underlying operating result for fiscal year 2024 is still solid. Previous year, the Greener Commodities power trading business also benefited from a very volatile price environment in an unrepeatable manner. In 2024, the financial performance has started to normalize, but still contributed very good earnings to Group's adjusted EBITDA. Overall, the Greener Commodities segment, including the gas midstream and power subsegments with a result of almost EUR 1.5 billion had been the strongest performing segment, which is well above our initial expectation for the financial year 2024. The Flexible Generation segment also delivered satisfactory earnings but below previous year's record level. The main reason for the decline in earnings is that we were able to lock in high spreads for the previous year 2023, which were unrepeatable. This is also reflected in a 19% drop in volumes for both oil and gas. On the positive side, we earned higher capacity market income in U.K. due to higher clearing prices, which is an important contribution to our non-merchant and predictable result. Accordingly, adjusted EBITDA for coal-fired generation decreased by almost EUR 850 million and for gas-fired generation by almost EUR 580 million. Green Generation posted a higher result in the '24 financial year, although it was again impacted by high provisions for nuclear waste disposal. The increase of EUR 22 million year-on-year was mainly driven by nuclear, which benefited from hedges at higher prices and better availabilities of Oskarshamn 3 and Ringhals 4. Overall, the nuclear result is roughly EUR 150 million higher than in the previous year. Nevertheless, the absolute nuclear financial performance for fiscal year 2024 was weak due to an extraordinary addition of a significant provision similar to the prior year. The hydro subsegment is around EUR 110 million down compared to the financial year 2023. Increased water inflows, especially in the third quarter 2024 were overcompensated by lower prices in Sweden, where we also had less ancillary services income. Hydro Germany was delivered -- has delivered a lower contribution for 2024 compared to the previous year due to provision additions, especially for dam safety measures. The underlying operating performance for hydro Germany has been positive year-on-year. This is primarily due to an improved hedge result and higher intrinsic values from pump storage and storage plants due to increased volatility in the German market. This supports our decision to invest in Happurg to be able to take even greater advantage of higher price volatility in the future. Before I move on to the next slide, a few words about our hedging figures, which we have listed in the appendix as usual. In total, we were able to achieve an average price of EUR 43 per megawatt hours in the Swedish market and EUR 58 per megawatt hour in the German market with our outright portfolio for 2024. This is a year-on-year average improvement of EUR 3 per megawatt hour for Sweden, driven mainly by better prices in SE3 and of EUR 24 per megawatt hour for Germany, where, however, we produced significantly less volume than in the Nordic market. Compared to September 13, 2024, we hedged a further small share of the open volumes for Sweden for '25 and '26 in the fourth quarter. However, the average hedge price of EUR 38 per megawatt hour for both years remained stable. For 2027, which we are reporting on for the first time now, we have also hedged around 25% of our volumes at EUR 38 per megawatt hour as of the end of 2024. And for Germany, we hedged a further portion of the volumes for 2025 between the end of September and the end of December, whereas 30% of the volumes for 2026 are still locked in. The average hedge prices are slightly lower than at the end of September at EUR 121 per megawatt hour for 2025 and EUR 86 per megawatt hour for 2026. Beyond that, we have already hedged 5% of our '25 -- sorry, of our '27 production at an average price of EUR 80 per megawatt hour. Let's now have a look at the development of the adjusted net income on the next slide. So this Slide #11 provides a reconciliation from adjusted EBITDA to adjusted net income for the financial year 2024. Starting with the adjusted EBITDA that stood at EUR 2.6 billion on the left. First, depreciation and amortization amounted to EUR 611 million, which is roughly EUR 190 million below prior year due to significant impairments, mainly for our coal fleet, which were recognized at the year-end 2023. Second, Uniper made a positive economic interest result of EUR 129 million, which is well above a negative result of about minus EUR 190 million for 2023. We benefited from lower financial commitment fees and the high cash position that was partially invested, for instance, in short-term interest-bearing deposits. And third, the operating tax in the amount of EUR 582 million are equal to a tax rate of 27.3%. In total, this brings us to a very comfortable group adjusted net income of over EUR 1.6 billion for the fiscal year 2024. And now over to the operating cash flow. Slide #12 shows the reconciliation from adjusted EBITDA to operating cash flows for 2024, which came in at almost EUR 1.7 billion. This reflects the good underlying operating result despite notable swings in provisions and working capital and translates into a cash conversion rate of roughly 85%, which is more typical compared to historical figures. The first major swing comes from the provision utilization, which had a negative effect of EUR 1.4 billion in total. This reflects the initial payment of over EUR 500 million to the Federal Republic of Germany we had to make because of the outcome of the arbitration proceedings regarding the long-term gas supply contract with Gazprom Export. Another relevant factor is higher decommissioning costs for our nuclear assets in 2024. The second swing is the change in working capital with a positive effect of almost EUR 900 million. The lower working capital requirements are mainly driven by both lower stored gas volumes and lower prices on the commodity markets, leading to less capital employed in inventories. And now let's turn to the latest figures of Uniper's economic net debt. Thanks to a strong operating cash flow, the economic net cash flow increased year-on-year from just over EUR 3 billion to EUR 3.4 billion as of December 31, 2024. In 2024, Uniper's investments were up 21% to just above EUR 700 million. Growth investments have been starting to slowly accelerate by more than 50% and exceeded the EUR 300 million mark while maintenance CapEx of just below EUR 400 million stayed flat. The increase in growth investment is mainly due to the investment in Happurg. The other block mainly includes higher provisions for asset retirement obligations, including nuclear that burdened the economic net cash position. With EUR 3.4 billion, we have a very comfortable economic net cash level. That will be affected by the payment obligation that we will most likely pay in the first quarter of this year to the German government. The respective liability has been updated to EUR 2.5 billion, in line with our results at the end of 2024 and will result in a payment of roughly EUR 2.6 billion to the Federal Republic of Germany. As highlighted in prior calls, this payment obligation for recovery claims to the Federal Republic of Germany is caused by an overcompensation as of December 31, 2024. This partially compensates the German government for rescuing Uniper in 2022 and allows it to also profit from our extraordinary results in previous years. Let's now turn to the last slide for today, the outlook for the financial year 2025. After another exceptionally good financial year '24, we now expect in line with what we have said before, significantly reduced earnings in 2025. This year's results will still show traces from the past. However, we expect that negative effects from crisis years will have been digested in the years to come following 2025. Consequently, a decline in commodity price levels and the absence of exceptionally positive one-off effects also translate into reduced expected earnings for the Group. We have informed the market on February 13 that we expect an adjusted EBITDA in the range of EUR 900 million to EUR 1.3 billion and an adjusted net income between EUR 250 million to EUR 550 million for the fiscal year 2025. The financial outlook takes into account the current uncertainties in the market, both politically and economically. While we make progress in the execution of our strategy, we also reflect the anticipated developments in our 3 operational segments: Green Generation, Flexible Generation and Greener Commodities. We expect a significantly improved earnings contribution from the Green Generation segment on the back of a continued solid operational performance and the absence of a renewed allocation of provisions at a level comparable to the previous year. For Flexible Generation, the roll-off of exceptionally high contributions from strong hedging results in the past and lower expected economic generation caused by lower spreads and reduced portfolio are reflected in significantly lower earnings contribution expected from Flexible Generation. And last but not least, Greener Commodities is expected to be significantly below 2024. The anticipated realization of high gas inventory costs as well as the absence of nonrepeatable extraordinary hedging results put the segment under pressure in 2025, especially in the first quarter, when we expect gas inventory costs to largely realize with the high withdrawal. All in all, this outlook reflects what we have said throughout 2024. Record high years of 2024 and 2023 are not repeatable once earnings begin to normalize. With the outlook for 2025, our key priorities remain unchanged and hereby also supporting the Federal Republic of Germany with its exit application, execute our strategy, fully deliver our financial plan, further improve our financial and business risk profile to further strengthen our credit rating and deliver on our obligations stemming from the state aid received. We care for our people and foster Uniper as reliable, attractive employer, where the heart of energy beats, reliable, flexible and steadily cleaner. Thank you very much. And with that, back to you, Sebastian, we take off the Q&A session.
Sebastian Veit: Thank you, Jutta. And we can start with the Q&A session now. Operator, I'm handing over to you, please.
Operator: [Operator Instructions] Our first question comes from the line of Anna Webb from UBS.
Anna Webb : Firstly, I just wanted to dig into the 2025 guidance. Can you walk us through how much of this is expected to be one-offs in 2025, like perhaps the high inventory costs you talked about? And how much is driven by the weak market conditions? And as a result, how much of an earnings recovery, if any, we could expect in 2026? Just trying to understand kind of what the long-term earnings looks like in the current market environment. And secondly, on the German elections, which you mentioned in the presentation, how do you think the result affects the time line to seeing a new German government in place and thus, what it might mean for the German government potentially selling down a stake in Uniper? And also, any thoughts you have on what the result means more widely for German Energy in terms of, I think, most relevant for you, potential new gas plants and also the coal exit? It would be great to hear your thoughts on that.
Michael Lewis: Thanks for your questions, Anna. And maybe I pick up the second one on the German political situation, and then Jutta can pick up the question on the 2025 earnings guidance. So on the German election, I mean, as I said in my speech, I think the good news is that we had a very high turnout. The good news is we've got a fairly decisive result in the sense that 2 parties only can now form a coalition, the so-called black-red coalition. And I think that's good in the sense that it means a new coalition agreement can be negotiated quickly, and we can get stability and clarity about the direction in which the government is going. I think the most important challenge facing the next government as far as energy policy is concerned, is the so-called [indiscernible], which is the necessity to build new flexible baseload capacity, which will be available when the sun isn't shining and the wind isn't blowing. And we know currently, there's around a 4-gigawatt gap between peak demand and maximum capacity available. That is set to grow as the coal phaseout carries on through the 2030s. So we think there's going to be a gap of 20 to 25 gigawatts by around about 2030. So it's essential that the government quickly moves to implement -- you can call it the [indiscernible], I think, as the last government did or the [indiscernible] Because that's -- or a capacity market, but we need an incentive to build new capacity urgently. That's the single most important thing. And the quicker we make progress with building new flexible capacities. The quicker we can phase out the coal capacity that's still on the system. And one last thing I would say is we stand ready to invest. We have excellent sites for new power plants in Germany, and we have the capabilities. As I said earlier, this is our home turf. So we will be clearly doing everything we can to help the government move towards the right answer so that we can start this capacity build out as quickly as possible. Jutta.
Jutta Donges: Thank you, Mike, and good morning, Anna. Good to hear you coming to your first question with regards to what is impacting our earnings outlook for 2025. And also your question, is that a one-off negative outlook for this year. As you know, we are not providing any outlook for the or beyond 2025. But what I can say is that 2025 is a reflection of normalizing market conditions and also normalized earnings pattern in our financials. Obviously, Green Generation as well as Flexible Generation, as I explained, are highly dependent on market price development we have for the Nordic market high hedge ratios for 2025. 70% in the Nordics as we have also shown in our appendix. And as I mentioned in our -- in my speech. But overall, we see that market in the Nordic region -- prices in Nordic regions are coming down, in particular, in SE2, and this is also driven by a lower demand. So while we in the mid- to longer term, I expect that prices will increase in that region as demand will go up driven by the overall electrification what we see for '25 and looking at the forward curves, this is not something in the short term. With regard to Flexible Generation, as I mentioned, it's -- the earnings forecast for '25 is driven by low clean dark and spark spreads. We expect volatility in the market, but this is not taken into account, so this would come as an opportunity on top of our financial guidance. What we also see now in the Flex Generation segment is that we are delivering what we have promised, i.e., that we are exiting from coal. We have taken out almost 3 gigawatts of coal capacity, generation capacity in 2024. And obviously, that has an impact on our numbers going forward. And with regard to the last segment, Greener Commodities, as I referred to, there is a -- they are still reflected in the numbers, EUR 425 million that have their origin in the crisis. I referred to the high prices of the gas in the storage. And as we redraw that gas at high cost, that will obviously be a burden in 2025 numbers. But I also said that this is an effect that we expect to be digested over the course of 2025. So going forward, this should not be reflected in our numbers in the segment, Greener Commodities. I hope that answers your question.
Anna Webb : Yes, that's helpful. Can I just quickly follow up on the 2025 guidance, just whether you can quantify to the effect from the high inventory cost of the gas and storage? Just really helpful for us, looking at the numbers.
Jutta Donges: We do not give any further details on this, Anna.
Operator: Next question comes from the line of Louis Boujard from ODDO BF.
Louis Boujard : Maybe 2, if I may. The first one would be regarding the dividend, in particular, I would like to understand what would the remaining milestones for you to resume a dividend going forward in the future? And what would be the timing that we could expect for this to happen as well? The second question would be more regarding the Greener Commodities business, in particular, the storage business. I was wondering that we see a lot of volatility into this business in the past and also in the future, which is not necessarily very helpful for the investment case. What could you do on your side in order to enable to bring a bit more visibility into this business, in particular, is that something that can be done on a hedging point of view, or eventually, should we expect that we could do something maybe with a disposal? If it's not completely too much correlated with the rest of the business, is it something that could be sought about eventually in order to enable you to have a better framework and something which would be more visible in terms of cash flow generation going forward?
Michael Lewis: Thanks, Louis. Maybe I'll pick up the first question on dividends. The issue around dividends is to do with the German law NSIG [ph], which was passed when the state aid decision was made by the EU i.e., allowing the German government to step in and rescue Uniper. And what it means is that we cannot pay a dividend until that law is changed. Now, the previous government had indicated its intention to change NSIG, but it wasn't able to do so before the government fell. So we would expect the new government to look again at this as soon as possible as part of its overall strategy to look at the re-privatization of Uniper. I can't put a time on that. I would only say that the government knows they have to exit Uniper by the end of 2028 by 25% or at least sell down 75% less 1 share. And so they need to think about the timing and when they need to change NSIG , but it's certainly something that the government is well aware of. Jutta, could you pick up the second question?
Jutta Donges: Yes. Your second question relates to Greener Commodities and the Commodities business and the volatility in the business. The -- what I said with regards to '25 that comes from the past and as a reflection of extreme market developments in the past. So here, we also going forward, expect a normalization. I think what I should also stress here, you have seen that we have significantly derisked our gas midstream business. We have canceled the GPE contracts in 2024 on the basis of the court ruling. And as we said before, we are rebuilding our gas and LNG portfolio and make sure that it fits within our risk framework and delivers more stable and predictable earnings going forward. Also that's a clear focus on having reduced market risk in that segment.
Operator: Our next question comes from the line of Ingo Becker from Kepler.
Ingo Becker : I also had a question on your guidance, please. Jutta, when you say that '25 is an indication of normalizing earnings without asking you to confirm this as a '26 guidance, but would the logic be that if '25 is indicative for normalization be that we should probably work with such a range of '26 too? And if possible, is there a trend? Would we go to the lower end of the range or to the higher? And also, is there any scope change in your guidance, i.e., is in the EUR 900 million to EUR 1.3 billion figure, anything not included that was in '25 and that we should know? My second question would be on your on the policy change in Germany and the potential impact on your existing operations. Mike, you spoke about the need for supporting new gas plants. But do you see any impact on the existing Uniper as is from the government change?
Michael Lewis: Thanks, Ingo. And I will pick up the first question and then hand over to you to Jutta -- sorry, I'll pick up the second question and then hand over to you Jutta for the first question. I mean our expectation is that the government will create some kind of incentive, you call it, capacity market CapEx strategy. The fact is they need to incentivize new firm capacity on the system. No, we don't expect this to impact our existing assets. We would expect the market design to be able to encourage the creation of the capacities but not impact the existing assets in the market. And that's a question of the technical design of the system. But the most urgent is that they need to move forward with this. As I said in my answer before. there is simply no time to waste. This is extremely urgent for Germany. And we saw this in the 2 Datteln 4 events before Christmas where prices spiked to unprecedented levels over EUR 900 a megawatt hour in one case. So the signals are there. There's very clearly warning signs in the system, and we need to move as quickly as possible. Jutta.
Jutta Donges: To your first question, I cannot really add anything beyond what I said already in the guidance of the guidance for '25. spreads remain under pressure. That is reflected in the Flexible Generation segment. As I said, we do not take into account any upside from volatility in the market that we have seen in 2024 and that one could likely expect also for 2025, but we are cautious with that regard. And on gas midstream, I also said that before, there's focus on gas storage effects gas in the storage and gas costs that will materialize with the withdrawal of the gas from the inventories. But other than that, for '24 is not a lot that we can share at this point.
Michael Lewis: Sorry, you can go just one thing to add on my original answer when I said it won't affect existing assets. Well, it will actually affect certain existing assets, namely coal plants, which can phase out more quickly the sooner a new incentive mechanism for new capacity is introduced.
Ingo Becker : Jutta, can I just briefly ask, so the scope of the operations that will produce the EUR 900 million to EUR 1.3 billion EBITDA in this year is basically the same as the ones that produce these EUR 2.6 billion last year?
Jutta Donges: That is right.
Operator: [Operator Instructions] As there are no further questions, I will return the conference back to you.
Sebastian Veit: Thank you very much. The analysts and investors. Thanks for dialing in today. And for your questions, the IR team will be available for follow-ups. Also thanks for Mike and Jutta. We have another upcoming call with the -- for the journalists now. And we will hear each other back for Q1 numbers and may -- until then, stay safe and hope to see you and talk to you soon. Bye-bye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.